Operator: Ladies and gentlemen, thank you for standing by and welcome to OPKO Health, Inc. Third Quarter 2020 Financial Results Conference. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions].  I would now hand the conference over to your speaker today, Yvonne Briggs from LHA Investor Relations. Ma'am, please go ahead.
Yvonne Briggs: Thank you, operator, and good afternoon. This is Yvonne Briggs with LHA. Thank you all for joining today's call to discuss OPKO Health's financial results for the third quarter of 2020.  I'd like to remind you that any statements made during this call by management, other than statements of historical facts, will be considered forward-looking and, as such, will be subject to risks and uncertainties that could materially affect the company's expected results. Those forward-looking statements include, without limitation, the various risks described in the company's SEC filings, including the annual report on Form 10-K for the year ended December 31, 2019, and in subsequently filed SEC reports. Importantly, this conference call contains time-sensitive information that is accurate only as of the date of the live broadcast, October 29, 2020. Except as is required by law, OPKO undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this call. Before we begin, let me review the format of today's call. Dr. Phillip Frost, Chairman and Chief Executive Officer, will open the call; then Steve Rubin, OPKO's Executive Vice President, will provide a business update and pipeline review; and then Dr. Jon Cohen will discuss BioReference Laboratories; after that, Adam Logal, OPKO's CFO, will review the company's second quarter financial results, and then we'll open the call to questions. Now, let me turn the call over to Dr. Frost.
Phil Frost: Good afternoon. And thank you for joining the call today. We're pleased to announce OPKO's second consecutive quarter of growth and profitability, again led by the outstanding performance of BioReference Laboratories.  Demand for COVID-19 testing has remained strong and the team has focused on providing testing services with efficient turnaround times. Due in part to their outstanding service, BioReference has been the provider of choice for the CDC, numerous states, cities, healthcare organizations, professional sports organizations, schools, retail pharmacy chains, and drive thru testing sites.  We're also pleased by recovering trends in BioReference' basic testing business. Although still below pre pandemic levels, we're hopeful that the laboratory will return to pre COVID levels by the end of the year as more people return to physicians or begin to schedule elective medical procedures.  In addition, we're seeing progress with BioReference's new business development efforts, which have partially offset declines to remain a driver of growth.  On the pharmaceutical side, we continue to make progress. Along with Pfizer, we recently announced positive results from a Phase III crossover study for somatrogon, which demonstrated a significant decrease in the life interference total score after 12 weeks of treatment compared to once-daily Genotropin.  We're pleased that Pfizer remains on schedule to make its regulatory submissions for marketing approval of somatrogon in the US, Europe and Japan.  As for RAYALDEE, impacted by the pandemic, growth has lagged behind pre COVID expectations. On the international front, however, our partner Vifor has now received marketing approvals of numerous European countries and is in a position to launch commercial activities next year.  We initiated our clinical trial for RAYALDEE to treat patients with COVID-19 in an outpatient setting and hope to have top line results during the fourth quarter. There is a strong scientific rationale for RAYALDEE's rolling the anti-infective therapy. And if our trial is successful, we expect it to make an important contribution to dealing with the current pandemic.  Before I turn the call over to Steve, I'd like to emphasize that we are always considering the best strategies to maximize shareholder value. All of our directors and management and many of our employees are shareholders of OPKO. It goes without saying that our focus remains on increasing the value of our shares.  I'll turn the call over to Steve at this time. 
Steve Rubin : Thank you, Phil. Good afternoon, everyone. And thank you for joining us today. We are pleased with OPKO's advancements across all our business units despite the puts and takes of COVID-19 on the company.  As Phil mentioned, BioReference Laboratories continues to be a leading provider of COVID-19 PCR testing services. This heightened visibility in the new customers established during the pandemic have led to additional business relationships for the lab's core services, which we expect will progress well beyond the end of the pandemic.  While the laboratory business is experiencing strong growth, our pharmaceutical business continues to advance while contending with the challenges stemming from the pandemic that are impacting so much of the healthcare industry.  Earlier this month, in conjunction with Pfizer, we announced positive somatrogon Phase III top line results of a crossover pediatric study. The crossover study evaluated somatrogon administered once weekly to children 3 to under 18 years of age with growth hormone deficiency previously treated with daily growth hormone therapy.  The primary outcome demonstrated an improved treatment burden compared to Genotropin injection as measured by the mean overall life interference total score after 12 weeks of treatment.  In addition, key secondary endpoints showed an overall benefit in treatment experience with the somatrogon once weekly dosing regimen compared to Genotropin once daily dosing regimen.  Pfizer remains on schedule with respect to its regulatory submissions for marketing approval of Somatrogon for children with growth hormone deficiency in the United States, Europe and Japan.  We also presented an update at a recent pituitary society workshop entitled Update on somatrogon Development for the Treatment of Growth Hormone Deficiency in Pediatric and Adult Patients, highlighting results from each of the Phase III clinical studies evaluating somatrogon for the treatment of growth hormone deficiency in adult and pediatric patients. That presentation is available on our website under the subheading News and Media Announcements.  Now, I'd like to turn to our commercial pharmaceutical business, starting with RAYALDEE. The RAYALDEE numbers for the quarter break down as follows. Total prescription for RAYALDEE in Q3 2020, as reported by IQVIA, increased approximately 13% compared with Q3 2019. And RAYALDEE sales force continues to contend with the impact of COVID-19 on physician office visits as well as a decline in patient visits to doctors' offices. As a direct result of COVID-19, new patient starts decreased by almost 23% in Q3 versus Q2.  Since launch, nearly 22,000 patients have had RAYALDEE prescribed by nearly 3,300 positions. Approximately 150 physicians or about 4% of the total number of prescribers were new RAYALDEE prescribers in Q3.  We are pleased to announce that Vifor Fresenius, our partner for RAYALDEE in Europe, has secured market approvals for RAYALDEE in the United Kingdom, Germany, Sweden, Norway, Ireland, Denmark and the Netherlands. Market authorizations in a number of other countries are pending. Commercial launch by Vifor is anticipated to commence in 2021.  We have commenced a Phase II trial with RAYALDEE as a treatment for patients with mild to moderate COVID-19 as there have been numerous independent studies reporting an inverse correlation between vitamin D status and COVID-19 risk and severity.  The trial is a randomized, double-blind, placebo-controlled study and is expected to enroll 160 outpatients, including many with stage 3 or 4 chronic kidney disease who are at a higher risk for developing more severe illness. These outpatients will be randomized on a one to one ratio to four weeks of daily treatment with either RAYALDEE or placebo and then monitored for another two weeks.  The primary efficacy endpoints include raising and maintain serum total 25-hydroxy vitamin D within a range of 50 to 100 nanograms per milliliter and time to resolution of COVID-19 symptoms. We continue to actively enroll patients.  To update you on other RAYALDEE studies, we expect to have final results by year-end from our Phase IV clinical trial comparing RAYALDEE with three common treatment regimens for secondary hyperparathyroidism in adult patients with stage 3 or 4 CKD and vitamin D insufficiency.  Interim results indicate that a daily dose of 60 micrograms of RAYALDEE is the only treatment that reliably raised serum total 25-hydroxy vitamin D to the range of 50 to 100 nanograms per ml, a level required to effectively suppress elevated plasma parathyroid hormone levels in CKD patients.  In addition, we are fully enrolled in our Phase II clinical trial exploring the safety and efficacy of a high strength formulation of RAYALDEE as a new treatment for secondary hyperparathyroidism in adult patients with vitamin D insufficiency and stage five CKD on hemodialysis. We expect to report final top line data on this trial in the first quarter of 2021.  Now, let me turn the call over to Jon Cohen to discuss our BioReference Lab business. Jon?
Jon Cohen : Thanks, Steve. Good afternoon, everyone. I'd like to start by discussing our core business, which includes routine clinical testing, our specialty testing services comprising oncology, urology, and women's health, and genetic testing.  As the majority of providers are returning to normal, our specimen volume has improved and our base business is now down only high single-digit percentage compared with our pre COVID levels.  Although patient visits to providers in some specialty areas continue to lag, we expect these trends to slowly improve over the next six months.  Some subcategories of women's health have fully returned to pre COVID levels and 4Kscore orders are on track to be on the same level as pre COVID by the end of the fourth quarter.  We've had some significant growth in our oncology franchise beyond pre COVID volumes, with particular growth in our hem path offerings.  Also, gen path oncology had exciting news this past quarter, with the launch of OnkoSight Advanced, a next generation sequencing assay that enables revolutionary DNA mutational profiling of tumor samples. This assay provides critical insights for many different cancers and is aligned with the latest National Comprehensive Cancer Network and the World Health Organization guideline recommendations. We have seen very positive response to this offering.  Our Strategic Venture Initiatives continues to grow as we continue to build out that team with additional wins of medical groups, hospital reference business, federally qualified health centers, and other large provider organizations.  With regards to GeneDx, our volumes have returned to pre COVID levels. We announced an agreement with Pediatrics Medical Group, which is the nation's largest leading provider of maternal fetal and pediatric medical and surgical subspecialty physician services.  Under this new agreement, we will offer state-of-the-art next generation genomic sequencing to provide clinical diagnosis in the neonatal intensive care units, staffed by pediatrics affiliated neonatologists.  The sequencing is designed to enhance diagnostic capabilities in order to lessen the impact of disease and facilitate the development and novel precision medicine solutions for pediatric care. The initial offering includes whole exome and whole genome sequencing and genomic support services under the brand, Detect Genomix. And initial clinical diagnostic support services will be made available to hospitals and patients across the country.  In addition, we launched GenomeXpress, a rapid genome sequencing test to identify variations in any part of the genome to help in diagnosing genetic diseases. By including both protein coding and non-coding regions of the genome, GenomeXpress allows for the detection of pathogenic variants not accessed by exome sequencing. A rapid diagnosis can alter management, shorten hospital stay, reduce costs, and save lives.  As for COVID testing, to date we have performed 6.75 million COVID-19 PCR tests. In the third quarter, we performed 3.5 million COVID-19 molecular tests, up from 2.2 million last quarter. We have a current capacity of over 70,000 PCR tests per day and expect to have a capacity to do 100,000 tests a day within the next six weeks. Our average turnaround time remains less than 48 hours in most cases. In addition, we are constantly employing new technologies and new offerings, including pooling and saliva.  Along the lines of new offerings, in preparation for the flu season, we recently launched our combination COVID flu A/B test. This test provides testing for both viruses from one swab.  We will also be announcing our home kitting solution within the next several weeks. The past quarter, we performed more than 300,000 tests measuring SARS-CoV-2 specific antibody levels. Although we have not experienced demand for serology tests on a par for viral testing, we see an increased interest in these tests as we get closer to having a vaccine available. As a result, within the next several weeks, we will have available a quantitative antibody assay for viral spike protein to measure patient immunity.  We continue to experience significant demand across different customer verticals, including government agencies, universities and schools, core legacy providers, nursing homes, employers, sports organizations, hospitals, nursing homes and our partnership with almost 600 retail pharmacies from Rite Aid and CVS across 24 different states.  Recently, we announced additional testing agreements with the New York City Schools through a continued collaboration with New York City, the Department of Health and Hospital Corporation, the Test and Trace Corporation and the Department of Education.  Through these agreements, BioReference is testing students, teachers and staff in nearly 1,000 public schools.  In addition, we recently restarted testing the New York City Metropolitan Transit Authority's employees for COVID-19 on a routine basis.  Last quarter, we announced the CDC award for an indefinite delivery indefinite quantity contract to provide antibody testing to determine COVID-19 seroprevalence across the country. And last week, we were notified by the CDC that we were approved for an extension of the original contract for an additional $5.2 million.  Two weeks ago, we announced the successful completion of the COVID-19 response strategy for the National Basketball Association's season restart playoffs and the finals in Orlando, with 150,000 tests performed for NBA players, staff, press and onsite partners. I would like to extend my congratulations to the league, the executives, the players, the coaches, and the staff for their remarkable achievement.  The NBA executed with diligence, precision and compulsive attention to the most current scientific evidence throughout the program. The result of that commitment to the rigorous safety and COVID-19 testing protocols in this model was a positivity rate of zero percent.  Finally, we continue to evaluate the role of rapid point of care testing, both antigen and PCR in different settings. We believe PCR in the lab will remain the gold standard, but there is a market and role for point of care testing.  As a result of our leading position in COVID-19 testing, we've been able to expand existing relationships while establishing new ones. We remain highly optimistic and confident in our position to be able to grow our top and bottom lines over the long term, as we meet the testing needs of the public and private sector customers to manage the ongoing pandemic and beyond.  I'll now turn the call over to our CFO, Adam. 
Adam Logal : Thank you, Jon. We are pleased that our third quarter financial results met or exceeded our previously issued financial guidance. I will start with a review of our diagnostic segment. We reported revenue from services of $382.5 million compared to $181.1 million for the 2019 period. The increase in net revenue was driven by the execution of our COVID-19 testing strategy as well as continued improvements on the return of our base business, as Jon mentioned. Combining our routine testing business and our COVID-19 testing business, volumes overall increased almost 130% compared to historical levels.  As stay at home orders continued to ease during the summer, we saw a continued sequential quarter return in our routine and genetic testing businesses throughout the quarter. Overall routine clinical and genetic testing improved each sequential month during the quarter. And for the full quarter, we were down a high single digit percentage.  As a result of the increase in testing volumes in revenues, the diagnostic segment reported operating income of $46.2 million compared to an operating loss of $16.4 million, an improvement of $62.5 million over the 2019 period.  The third quarter of 2020 benefited from a $10 million grant under the CARES Act, which was recorded as other revenue.  Overall, costs and expenses increased by $148.9 million compared to 2019 expenses, reflecting the increased cost of revenues of $129 million, primarily due to the increase in overall testing volume. Selling, general and administrative expenses remained well controlled and increased $20.9 million compared to the 2019 period. The increase in costs the increased costs which are impacted by cash collections including sales force compensation and revenue management cycle costs, which are calculated based on cash collections.  Moving to our pharmaceutical segment, we reported revenues of $35.5 million for the third quarter of 2020 compared to $46.8 million for the 2019 period. Revenue from product sales in the third quarter of 2020 increased to $28.7 million, including $8.1 million of revenue from RAYALDEE compared to $26.2 million in the third quarter of 2019, which included $7.4 million of revenue from RAYALDEE.  As Steve mentioned, the growth rate of RAYALDEE has been negatively impacted by the stay at home orders and physician offices restricting product sales representatives from making sales calls and overall reduced patient office visits.  When looking at revenue from the transfer of intellectual property, we reported $6.8 million of revenue for the 2020 period compared to $20.7 million a year ago, reflecting the completion of our Somatrogon Phase III clinical trial.  As a reminder, we have been amortizing our upfront payment from Pfizer over the development period of somatrogon and have now fully amortized that upfront payment.  Loss from operations from our pharmaceutical segment was $14.4 million for the third quarter of 2020 compared to $14.2 million for the 2019 period.  Overall research and development expense for the third quarter of 2020 was $14.5 million compared to $26.8 million in 2019, reflecting a reduced amount of spending on our somatrogon development program.  On a consolidated basis, the third quarter of 2020 had an operating profit of $21.9 million, a significant improvement of $61 million over 2019's operating loss of $39 million.  Consolidated revenues for the third quarter were $428.1 million, reflecting an increase of $199.3 million over 2019's $228.8 million.  Our net income for the third quarter of 2020 was $23.7 million, or $0.04 per diluted share compared to a net loss of $62 million or $0.11 per share for the 2019 period.  Finally, the third quarter of 2020 generated $63 million of cash from operations, allowing us to fully repay our line of credit with JP Morgan and resulted in a cash balance as of September 30 of $36.3 million. We have approximately $65 million of availability at our line of credit with JP Morgan and $100 million available under our line of credit with Dr. Frost.  The combination of cash on hand or lines of credit, along with the expected strong financial performance of BioReference for which we anticipate positive cash flow from operations going into 2021, provides us with a strong balance sheet and adequate capital resources.  As we look forward into the remainder of 2020 and into 2021, we see significant opportunity to continue to generate operating profits and revenue growth compared to 2019 levels.  For the fourth quarter of 2020, we have built the following assumptions into our forecast. We anticipate performing between 3.2 million and 3.8 million COVID-19 PCR, antigen and antibody tests during the fourth quarter. As Jon mentioned, we are continuing to build capacity well in excess of these levels. Should demand for testing increase, our revenue could expand beyond our guidance.  We assume our base business for both routine clinical and genetic testing will remain at current levels, which are in the mid to high single digits behind 2019 levels, given the increasing COVID-19 cases being reported over the last several weeks. We are cautious about patients fully returning to office visits.  With that, overall, we expect revenue for the fourth quarter of 2020 to be between $400 million to $430 million, including revenue from services of $370 million to $400 million, revenue from products of $25 million to $30 million, and other revenue of $6 million to $8 million. We expect costs and expenses to increase to $380 million to $400 million, resulting in an operating profit of $20 million to $30 million at various points between the revenue and expense assumptions.  The increase in cost and expenses are strictly attributable to the cost of sales as we remain committed to controlling all of our other operating expense line items.  Operating profit includes approximately $22 million of non-cash depreciation and amortization expense, as well as an expectation of research and development expense of $18 million to $22 million.  With that, I'll open the call for questions. Operator? 
Operator: [Operator Instructions]. Our first question comes from the line of Maury Raycroft with Jefferies.
Maury Raycroft: Congrats on the progress and the updates. First question is on COVID PCR testing capacity. So, you're still around 70,000 per day. I guess, can you comment on whether you're seeing anything different on the supply chain issues? And if you're seeing any changes – and also on pooling, if that has been effective in 3Q, potentially more difficult to implement than you thought.
Steve Rubin: Supply chain has absolutely stabilized up till now. There are some occurrences that still pop up here and there. But right now, supply chain has not been an issue that it was several months ago.  The issue of pooling, we are pooling. I think you've heard that and we've announced it. We will continue to pool in low incidence areas as we can. We're pooling now on multiple platforms. So, it is having an impact, a positive impact on our capacity. 
Maury Raycroft: And then, next question is just, how do you view the recent CMS policy announcement on reimbursement for high throughput testing? And is there anything you can update us on with regard to reimbursement and how that's evolving? 
Steve Rubin: I would say the reimbursement issue relative to 48 hours of Medicare, I think it will have essentially no impact on us. Our turnaround time right now is less than 48 hours for the overwhelming majority of our COVID-19 testing. And then, of course, Medicare is, of course, a smaller percentage of the total number of testing that we're doing. Plus, the Medicare, of course, is only related to third-party billing. So, if you take the percent, it's pretty low. And as I said, I don't predict that we should have any issue at all relative to 48 hours or less. 
Maury Raycroft: And then, how do you view your new multiplex COVID-19 plus influenza assay in your current testing paradigm? And can you tell us anything about its implementation, uptake and reimbursement for that? 
Steve Rubin: The rate is somewhere around, I think, $142 or something for flu A/B and COVID. Not sure the exact rate, but it's somewhere around there. We have brought it up on, I would say, several platforms at this point. It's early in the flu season, as you know. I don't think anybody's going to predict what or where that outbreak will occur. But we are fully prepped for, I would say, most incidences of what the flu combination will look like. The advantage of having multiple platforms, as you may know, is that if you run the flu A/B, you cannot pool. I don't predict that that will be an issue for us at all. But it does change the dynamics of moving testing from platform to platform. 
Operator: And our next question comes from the line of Yale Jen with Laidlaw & Company.
Yale Jen: Congrats on the performance this quarter. First question is that, for the RAYALDEE in COVID-19 trials, if it's successful for the first study, what's the subsequent sort of regulatory path you're considering? And how do you position RAYALDEE in the overall for the COVID-19 patients? 
Charles Bishop: This is Charlie. We're conducting, as you know, a Phase II study in COVID-19 patients targeting mild to moderate symptom improvement. And the regulatory path that we hope to follow is, with positive results from this study, we would file an emergency use authorization with the FDA. In parallel with that, of course, FDA will require us to complete the development program. So, we would undertake further studies in communication with the FDA that would be appropriate to finish up the data gathering that would be necessary for SNDA. 
Yale Jen: And maybe just one more question on the operating margin or the gross margin of the BioReference. If we compare the number of second quarter versus third quarter, the third quarter seems a little bit sort of higher than that. Is that sort of the pace or the level we should anticipate going forward with the increased COVID-19 tests at this moment? 
Adam Logal: The second quarter had a couple of one-off things in it. The 4K revenue that we got on the Medicare appeal. The third quarter was a cleaner overall quarter from a normality or go-forward basis. So, with the guidance that we gave, it would suggest that the incremental revenue that we earn should be at that higher gross margin going forward. 
Operator: And our next question comes from the line of Ted Tenthoff with Piper Sandler. 
Ted Tenthoff: My congrats too on profitability. A question with respect to somatrogon. I'm trying to understand what's taking time for the BLA submission? And do you guys anticipate that there will be a panel for this, especially considering status of the competitor? Or what kind of review should we be anticipating for somatrogon? Thank you. 
Steve Rubin: We are not anticipating a panel. We just expect a standard review. I don't think the competitors would trigger any kind of additional review or analysis. To the contrary, if they're not going to have Advisory Committee, we would expect one either. We wouldn't have expected one in any event, given our drug and the market and the studies we've taken.  Timing there, they're right on time. So, as a matter of fact, some of this has been accelerated somewhat. The study we recently announced really gives Pfizer the ability to submit in Europe even earlier than we'd expected as we expect that to be done hopefully early into next quarter.  And just the point here is to understand that Pfizer – they don't announce – they're our partner, obviously. They don't announce BLAs or NDAs for that matter until FDA acceptance. And so, when you hear from us, it will have been accepted by FDA. 
Operator: And our next question comes from the line of Dana Flanders with Guggenheim.
Dana Flanders: I have a couple of questions that I'll just ask upfront if that's okay. My first one, a question for Jon maybe. Maybe you can just comment from a bigger picture perspective where we are overall relative to testing demand meeting supply. I know there's a lot of supply coming online from you and some of your peers. And I was surprised to see your Q4 Guide with services revenues flattish quarter-over-quarter given the uptick in cases we are seeing. So, are we getting closer to that equilibrium level or are you wanting to be a little bit conservative going into the fourth quarter?  My second question, just in light of the shareholder letter that was published this afternoon, maybe you can just comment on if the company is or would evaluate strategic alternatives for any of your business units or product lines to help unlock value if that's something the company is considering?  And then my third, last question just on OpEx. I was surprised to see SG&A&A tick up this quarter. Was there anything one time there? And can you help us think about that SG&A line into Q4 and 2021? Thanks. 
Phil Frost: I'll answer the second question first. What you need to know is that, philosophically, we have always considered our shareholders' interests first and foremost. What that means to us is that we consider any and all options that might result in more value for our shareholders. Now you can read into that whatever you want, but I think that really tells the complete story. 
Adam Logal: Maybe I'll go next on the OpEx questions and then Jon can jump in on the testing environment in general.  So, on OpEx, Dana, no, there was an uptick in the actual dollar spent. Almost all of those are tied to the increased sales activity, whether it be the RCM costs. As you know, we outsourced that. We pay on a percentage of cash collection. So, as cash gets collected, we have more expense. I think you would probably recognize that, despite the dollar increases, the percentage of revenue increases are dramatically lower. So, you would see that we're not building infrastructure to support the level of sales increase. When we had a more than doubling of revenue, a $20 million increase in SG&A costs, I think, you would agree is pretty efficient.  And then, as we guide forward, it just continues along. There's not any one-time items that we're expecting to come out of operating expenses. And in fact, we're doing everything we can to manage those non-sales – or tied to sales expense line items as tightly as we can.  Jon, maybe you want to take the testing question? 
Jon Cohen: It's an interesting question. Observations are as follows. I do believe that there is a lot more testing online available throughout the country in general compared to several months ago. Now, we've also, as you can tell, build capacity which we could say at some point stabilized out to some volume. But, however, the next phase of the testing is, we're in the middle of – not relative to what the country is doing, relative to the disease, but in terms of the need for more testing, at least from our observation, has significantly significantly increased over the last couple of weeks. And I say that in the context of – there are many industries and entities that were, I would say, sitting on the sidelines, waiting to see what was going to happen with the pandemic.  I would example that, for instance, is colleges and universities. Many colleges, universities, public schools, as you know, did not make a decision relative to the fall semester. Many of them decided to sit it out and go virtual. I think what you are seeing now is as they get ready for the semester that's starting in January, many of them have made the decision that they need to address what their testing strategy is going to be. That is very similar to large other entities and large number of employers that have not up to now brought their workforce back. So, our observations is there is going to be an increasing demand as we move into the next phase of that. So, that's A. B is as the pandemic has moved across the country and you see what's going on in the news, there are multiple states – and although they have access to testing – are reaching their capacity limits within their states. I know this because we've been in touch with several of them who have reached out recently as they may need more testing as this thing continues to flare, particularly in the Midwest.  So, in general, I would say that there's more to come. I think there was a stabilization. There are a lot more people out there testing. But I think, in general, there's more to come. And that's just our observations. 
Operator: And our next question comes from the line of Yale Jen with Laidlaw & Company. 
Yale Jen: This is regarding somatrogon, which is that if the drug gets approved in the next year, do you anticipate Pfizer doing line extensions clinical studies into other neighboring indications? And if that's the case, OPKO will share the cost or it will be the cost for the Pfizer to take? 
Steve Rubin: There's two parts to that, Yale. So, we expect and we always said that Pfizer would submit for the adult – at least certainly consider submitting for the adult upon approval of the pediatric. Now, as you know, we have conducted that study with a modified statistical analysis and has spoken to FDA about submission along with the data from the pediatric. In fact, we just recently made a presentation which includes, in the adults study, which I mentioned in my remarks, which is on our website. As for other indication, we are obligated with Pfizer to proceed with one more pediatric indication and we would split the cost there. So, there will be at least [indiscernible] that we will do sharing the cost with Pfizer. 
Operator: Thank you. And that does complete our Q&A session for today's conference. And I would like to turn the conference back over to Dr. Phillip Frost for any closing remarks. 
Phil Frost: Thank you all for your participation and for your very good questions. We look forward to getting back together with you early next year when we report on our fourth quarter and full year. In the meantime, stay safe, stay healthy. And thank you once again. 
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone, have a great day.